Operator: Good day, everyone, and welcome to the Third Quarter 2025 Transocean Earnings Call. [Operator Instructions] Please keep in mind, today's call will be recorded and we will be standing by if you should need any assistance. It is now my pleasure to turn today's conference over to Director of Investor Relations, Alison Johnson.
Alison Johnson: Thank you, David. Good morning, and welcome to Transocean's Third Quarter 2025 Earnings Conference Call. A copy of our press release covering financial results, along with supporting statements and schedules, including reconciliations and disclosures regarding non-GAAP financial measures are posted on our website at deepwater.com. Joining me on this morning's call are Keelan Adamson, President and Chief Executive Officer; Thad Vayda, Executive Vice President and Chief Financial Officer; and Roddie Mackenzie, Executive Vice President and Chief Commercial Officer. During the course of this call, Transocean management may make certain forward-looking statements regarding various matters related to our business and company that are not historical facts. Such statements are based upon current expectations and certain assumptions and therefore, are subject to certain risks and uncertainties. Many factors could cause actual results to differ materially. Please refer to our SEC filings for our forward-looking statements and for more information regarding certain risks and uncertainties that could impact our future results. Also, please note that the company undertakes no duty to update or revise forward-looking statements. Following Keelan and Thad's prepared comments, we will conduct a question-and-answer session with our team. During this time to get more participants and opportunities to speak, please limit yourself to one initial question and one follow-up. Thank you very much. I'll now turn the call over to Keelan.
Keelan Adamson: Thanks, Alison, and welcome, everyone, to our third quarter conference call. We posted a strong third quarter, demonstrating our collective focus on delivering superior operational performance to our customers. And I extend my sincere thanks to all of our crews offshore and our operation teams onshore without whom these excellent results would not be possible. Additionally, we have made notable progress in recent months, reducing our operating costs as evidenced by our strong free cash flow generation in the period and our simplified and improved capital structure. We completed several important capital markets transactions that advanced our deleveraging efforts and further reduced interest expense to better position the company for the long-term benefit of our shareholders. Thad will provide more detail, but as the result of our ongoing cost control initiatives and these transactions, we have achieved several important results. First, by the end of 2025, we will have reduced our debt by approximately $1.2 billion versus our scheduled maturities of $714 million. We believe that a stronger and more flexible balance sheet is essential to improving total shareholder return, making accelerating -- accelerated deleveraging one of our key objectives. Second, these transactions allowed us to convert one tranche of secured debt to unsecured debt, reducing restricted cash balances that are now being used more efficiently and releasing the Deepwater Poseidon, which is among our highest specification and most capable rigs from the collateral pool. Third, our annualized interest expense will now be reduced by approximately $87 million versus 2025 with these savings expected to be used for further opportunistic debt reduction. And lastly, we have significantly improved our debt maturity profile and materially reduced our 2027 obligations. Today, we currently expect to meet our remaining scheduled maturities with cash flow from operations. We will include a slide in our corporate presentation that illustrates this improvement. We are pleased with the significant progress we have made on our balance sheet so far this year and there is more work to be done. I will remind our listeners that in addition to the providing industry-leading offshore drilling services to our customers, these actions and outcomes are consistent with our previously articulated objectives of reducing debt, reducing interest expense and simplifying our capital structure. Turning to asset strategy. We continue to refine the composition of our fleet. After a fulsome analysis of the option value of our cold stacked assets, we announced our intention to dispose of 4 drillships and 1 harsh environment semisubmersible from our stacked fleet. Overall, we will retire 9 rigs, including the 4 announced last quarter, a process that should be complete by mid-2026. Our fleet now consists of 24 contracted ultra-deepwater drillships and high-specification harsh environment semisubmersibles as well as 3 higher specification, seventh gen ultra-deepwater drillships currently cold stacked in Greece. We have been deliberate in the rationalization of our fleet to maintain a portfolio of the highest specification, most marketable and competitive assets in the industry. The decision to retire these older assets better aligns the company with evolving customer needs while supporting a more balanced industry supply-demand dynamic. With respect to rig contracting and as we expected, our customers exercised some priced options. In the U.S. Gulf, following the announcement of its final investment decision on the Tiber-Guadalupe development, BP exercised its 1-year $635,000 per day priced option for the Deepwater Atlas. The program is expected to contribute approximately $232 million in backlog and will keep the rig operating with BP through the second quarter of 2030. We are grateful for the continued confidence BP places in us to execute its payload [ gene ] programs. In Brazil, Petrobras exercised the first of its 2 options for the Deepwater Mykonos. The program extends the rig's firm term into early 2026. Moving now to the broader market environment. Given global macro uncertainties and its impact on commodity prices, our customers continue to exhibit capital discipline, prioritizing free cash flow for debt reduction, returning capital to shareholders and taking a measured approach to the amount of capital that they commit to exploration and development activities. They have also been reducing costs by restructuring their organizations and have largely been sustaining reserves and production levels through acquisitions and consolidation. This has resulted in deferred near-term demand for drilling services and as expected, a slower pace of contracting. However, industry projections continue to suggest that upstream investment in offshore will increase, particularly in the deepwater segment. Indeed, a number of independent organizations recently observed that the significant decline in operators' reserve to production ratios resulting from their capital discipline is not sustainable, a view with which we agree. We believe that their efforts to improve this metric will lead to meaningful increases in offshore drilling activity. Notably, and perhaps to the greatest extent we have heard over the past decade, many customers are now indicating a necessity to increase their exploration activity to address this emerging supply imbalance. Multiple third parties project that demand for deepwater rigs will significantly increase in the coming years and we are encouraged by recent conversations with customers and anticipate contract awards for more programs later this quarter and into 2026. Based upon known tenders, programs and contract options, we expect the number of contracted floaters to grow by approximately 10% in the next 18 months. Looking regionally, in the U.S. Gulf, activity is stable as operators continue to extend utilization of rigs they already have on contract. Additionally, 3 short-term programs with independent operators are expected to be awarded in the fourth quarter with one more tender to be released before year-end. In Brazil, we anticipate the Petrobras Buzios and Mero tenders and Shell's Gato do Mato tender will be publicly awarded in the coming weeks for a total of 23 years of firm work requiring 6 rigs. We believe that these programs will mostly be satisfied with rigs currently in country. In Africa, we still anticipate demand could increase the working rig count by at least 3 rigs through 2027. In Nigeria, the Exxon and Chevron tenders for multiyear development are well underway and Total's new tender is expected to be released in the coming months. In the Ivory Coast, we believe Eni's release of its tender for the multiyear Baleine Phase 3 development commencing early 2027 is imminent. In Angola, the rig count is expected to remain relatively stable. Azule Energy recently released an expression of interest for 2 rigs commencing late 2026 and Shell will go back to the country after many years out by starting a new exploration campaign in 2027. We now expect there will be 5 drillships and 1 semisubmersible working in country by 2027. In Namibia, most of the operators that are currently active will continue to drill exploration and appraisal wells in 2026 through 2027. We expect the first major development program will be tendered for 2 rigs to begin in 2028. And finally, in Mozambique, Eni's tender is progressing with Exxon and Total's tenders anticipated to be released soon. I also note that Total recently lifted force majeure from their $20 billion LNG project there, a decidedly positive development for Mozambique's economic development and for investor confidence as the country continues to develop its energy resources. In the Mediterranean, current opportunities could require up to 2 incremental rigs in the next 2 years with programs from a number of the major operators as well as local independent energy. Moving further east to India. The ONGC tender for 1 drillship with a mid-2026 commencement is in progress. And elsewhere in Asia, there are a number of market inquiries, including 2 in Indonesia for multiyear programs starting in 2027. In Australia, Chevron's Gorgon Phase 3 tender is progressing toward award, which we currently expect in the first quarter of next year. We anticipate there will be 1 drillship and 2 semisubmersibles working in country in 2027. In Norway, utilization of the high-specification harsh environment semisubmersible fleet is expected to remain robust through 2027 as the award for Equinor's rig tender is expected imminently. This and other projects have commencements in 2027, many of which will utilize contract extensions of the current fleet. Based upon current planned programs in 2027, the drillship and harsh environment semisubmersible markets are projected to reach active utilization of above 95% and close to 100% respectively. Operationally, we continue to deliver strong safety and reliability performance for our customers. Indeed, in September, we posted revenue efficiency of 100% and delivered 97.5% for the entire third quarter. Responsible for these achievements is a uniquely qualified and high-performing team that is focused on delivering the professional and disciplined experience to which our customers have grown accustomed. Through rigorous procedural discipline, we've built an operational framework that enables us to deliver the same standard of performance on every Transocean rig regardless of where it is operating. I am also very proud that we continue to set industry firsts. We recently ran the heaviest casing string on record at a hook load of approximately 2.85 million pounds using our eighth generation drillship, the Deepwater Titan. This achievement showcases what can be delivered with this highly capable generation of asset, unlocking significant well construction and production efficiencies for our customer. In conclusion, we remain focused on optimizing the value of our assets and services while maintaining a disciplined approach to deploying our high-specification fleet. Our priority is to best serve our customers and continue to generate strong cash flow, supporting our ongoing efforts to strengthen the balance sheet and increase the value of our equity. We will continue to take steps to optimize our capital structure and financial flexibility. I'll now turn it over to Thad for further discussion on our transactions, our results and guidance. Thad?
R. Vayda: Thank you, Keelan, and good day to everyone. During today's call, I will briefly recap our third quarter results, provide guidance for the fourth quarter and conclude with our preliminary expectations for full year 2026. As is our practice, we'll provide updated guidance for 2026 when we report our full year 2025 results in February. During the third quarter, we delivered contract drilling revenues of $1.03 billion with an average daily revenue of approximately $462,000. Contract drilling revenues are slightly above our guidance range due primarily to the Deepwater Skyros, which continued to operate throughout the quarter. Operating and maintenance expense in the third quarter was $584 million. This is below our guidance range, primarily due to deferred maintenance costs across the fleet and the release of a $10 million provision resulting from the anticipated favorable outcome of a legal dispute, partially offset by severance costs associated with the company's shore-based support reorganization undertaken in August. Capital expenditures for the quarter were $11 million, also below our guidance range of $25 million to $30 million, primarily due to the timing of payments. G&A expense was $46 million, below expectations due also to timing, but with respect to professional and legal services. We ended the third quarter with total liquidity of approximately $1.8 billion. This includes unrestricted cash and cash equivalents of $833 million, about $417 million of restricted cash, the majority of which is reserved for debt service and $510 million of capacity from our undrawn revolving credit facility. All of the proceeds from the recent equity and debt capital markets transactions have since been deployed to reduce and refinance certain debt obligations. Adjusting for these proceeds, our quarter end liquidity would have been approximately $1.2 billion. I will now provide guidance for the fourth quarter of 2025 and preliminary guidance for the full year of 2026. For the fourth quarter, we expect contract drilling revenues to be between $1.03 billion and $1.05 billion based upon an average fleet-wide midpoint revenue efficiency of 96.5%, which, as you know, can vary based upon uptime performance, weather and other factors. This guidance includes between $60 million and $70 million of additional services and reimbursable expenses. The slight sequential increase in revenue is mainly due to higher activity on the Deepwater Conqueror, which started its new contract on the 1st of October, partially offset by lower activity on the Deepwater Skyros as it has concluded its work in Angola and is mobilizing to Ivory Coast for its next contract, which starts in December. We expect fourth quarter O&M expense to be within a range of approximately $595 million to $615 million. This quarter-over-quarter increase is primarily due to the release of the previously mentioned anticipated favorable resolution of a legal dispute, which is not repeated in the fourth quarter and higher in-service and out-of-service maintenance across the fleet, partially offset from the shore-based reorganization implemented in August. We expect G&A expense for the fourth quarter to fall within a range of approximately $45 million to $50 million. Net cash interest expense is projected to be approximately $122 million for the fourth quarter, comprising interest expense and interest income of about $131 million and $9 million, respectively. Capital expenditures and cash taxes are expected to be approximately $25 million to $30 million and $18 million, respectively. Finally, we currently estimate that we should end the year with total liquidity of slightly more than $1.4 billion, including the $510 million capacity of our undrawn credit facility. Versus our prior guidance of $1.45 billion to $1.55 billion, our year-end liquidity reflects the use of approximately $106 million of cash in excess of that provided by the recent transaction to reduce our debt balances. We expect that at year-end, the remaining debt and capital lease balance will be approximately $5.9 billion, which is net of $80 million of remaining scheduled payments and maturities to be settled with cash. For 2026, we currently forecast contract drilling revenue to be between $3.8 billion and $3.95 billion. Approximately 89% of our forecasted revenue is associated with firm contracts and the range assumes revenue efficiency of approximately 96.5% at the midpoint. Our guidance includes between $230 million and $270 million of additional services and reimbursable expenses. We expect our full year O&M expense to be between $2.275 billion and $2.4 billion and we currently anticipate G&A costs to be between $170 million and $180 million. We forecast 2026 cash interest expense to be about $480 million. Our preliminary projected liquidity at year-end 2026 is between $1.6 billion and $1.7 billion, reflecting our revenue and cost guidance, which incorporates the net effect of our ongoing cost savings initiative and includes our $510 million revolving credit facility, which we expect to remain undrawn and anticipated restricted cash of approximately $380 million. This liquidity forecast also includes CapEx expectations of approximately $125 million to $135 million. I reemphasize our continued focus on strengthening the company's financial position through disciplined management of our capital structure. In utilizing a combination of equity and debt in our recent capital markets transactions, we were able to reduce our gross debt by approximately $1.2 billion versus scheduled maturities of $714 million, an incremental debt retirement of over $0.5 billion. This is accompanied by a substantial reduction in annualized interest expense of about $87 million. The sequence of the capital market transactions also allowed us to achieve the best possible rate, 7.875% on the new 5-year $500 million senior priority guaranteed notes due 2029, below that of the now retired 8% notes that matured in 2027. Additionally, with the retirement of the 2027 notes secured by the Deepwater Poseidon, we were able to utilize cash that would otherwise have been held in our restricted cash accounts in a more productive manner. Finally, the tender offer for our discounted 2041 and certain 2028 maturities contributed about $105 million of debt reduction to the total $1.2 billion with associated annual interest expense savings of about $9 million. In conclusion, we remain committed to a thoughtful, measured approach to liability management. With strong backlog conversion generating incremental free cash flow, we anticipate being able to continue accelerating debt reduction in excess of scheduled maturities. I'll now turn the call back to Alison to launch the Q&A session.
Alison Johnson: Thanks, Thad. David, we're now ready to take questions. [Operator Instructions]
Operator: [Operator Instructions] We'll take our first question from Eddie Kim with Barclays.
Edward Kim: Just a bigger picture question on your confidence level in the increase in deepwater utilization. I think you mentioned 95% or even 100%. I believe that's exiting '26 and into 2027, if you could clarify the timing there. We've seen a few day rates now below $400,000 a day and there's some investor concern around some more negative day rate prints here in the next couple of months. First, do you think those are coming? And second, how does that impact your view on this activity inflection higher in the back part of next year?
Keelan Adamson: Yes. Good question. And I think the way I would probably approach I think the 2-part question was one on utilization and the second part was more on rates and how that pressure will exert itself. I would say our view remains the same, Eddie. We believe that as we turn from the end of '26 into '27, the utilization of the ultra-deepwater fleet will bridge over 90%. And based on the conversations we're having with our customers, the programs, the tenders that we know are out there, with the long-term fundamentals with respect to the upstream CapEx, we expect to start moving towards offshore. The 2025 was a low FID year and so we expect the number of FIDs to increase as we go forward here into next year. And the need for oil companies to start exploring to a greater extent. And from my conversations with the heads of wells and indeed some CEOs in the last quarter, that sort of period looks like '27, '28, they're going to start releasing some capital to address those supply concerns. So we're very constructive on the longer term, certainly from 2027 out. Yes, there is some utilization available in 2026. But those rigs that are on the water, there's quite a few opportunities for those to capture some work. The question on rate, obviously, as the utilization builds from where we are at the moment, which we would consider to be at the bottom of the trough and I'm sure Roddie will add a few more thoughts on this after I'm finished, we certainly believe that as that capacity is absorbed into the awards that are coming, the rates will be competitive. It's a competitive environment right now as the drilling sector starts trying to build their utilization. But for the timing of our assets rolling towards the second half of next year, we expect a lot of that activity to be absorbed. And so we consider it a really good opportunity for us to roll some of our rigs that are coming available at the end of the second half of next year and going into '27 and '28 prospects. And so as you know, utilization when it bridges 90%, that's when the upward pressure starts exerting on rate. So we're very constructive on both utilization and our ability to create value from our assets as we move from '27 out. And with that, perhaps Roddie has a few more comments to make.
Roddie Mackenzie: Yes, sure. Sure. Eddie, let me add just a couple of notes to that. So as we think about where we are in the cycle, essentially we were kind of at a low point of contract awards in the first quarter of this year with only about 12 rig years awarded. The second quarter was a bit better at 14 rig years. The third quarter was 18 rig years. So we see the steady increase. And as Keelan has alluded to, in the fourth quarter, like in Brazil alone, we expect to get 23 rig years awarded. If we think about the other regions, we think Q4 is going to be a very strong contracting quarter and that continues into '26. So if you think about that in terms of actual utilization, we've already gone through the dip in contracting. Therefore, the increase in utilization is already booked. So this utilization is going to happen. It's kind of in the books at the moment and we think it basically accelerates from there. There was one other thing I was just going to mention real quickly on utilization. So as we entered the year 2025, we did have some white space on certain assets. And it's just a phenomenon of our business that on the active rigs, typically, the programs will run longer rather than run shorter and that's for a variety of reasons, whether they're well-related or more often, once an operator has an active rig working, it's very cost-effective to add additional wells to that program. So we saw that kind of several times for us and it's one of the reasons why our results in the third quarter are so good that we contracted beyond the time line that we had stated in the fleet status report. So I think on that side, utilization is looking only on the way up from this point forward, which is great. And to Keelan's point again about the rates, certainly, for near-term stuff, we're seeing more competitive numbers. But I think what's interesting is the time frame in which we are rolling over the rigs is going to allow us to continue our very disciplined approach and making sure that we get value for those rigs. And to be honest, having the highest specification rigs available at a moment when we're transitioning into the busiest time, I think, is a really good position to be in. If I look at the [ Farley ] charts and other charts, '27 looks -- if all of the probable items come through, then we're pretty close to 100% utilization and potentially above it if there's a big release of budget capital, but we have to wait and see how that pans out. But certainly, utilization and day rates are looking pretty solid from this point forward.
Keelan Adamson: Yes. Maybe one more comment, Eddie. I think when we talk about rates and we look at what's been fixed and what's been announced, I think the seventh gen units, there's been a lot of resilience at around $400,000 a day. And the competitive environment that's available that's present right now is going to also attract some of the lower spec sixth gen units, which is where you will see some more competitive pricing as the drillers start building more utilization on those assets. But we've been pleased with the resilience of the seventh generation assets have shown when it comes to day rate. And maybe another follow-up on '26. We're still looking to see what our customers are going to release from a budget point of view for next year. I'll be interested to see what that looks like and how that can be transferred over to the drilling market in '26.
Edward Kim: Great. Great. That's great to hear and all very helpful color. Just my follow-up is on your rigs coming off contract soon. You have 4 drillships set to come off contract around kind of early to mid next year, the Skyros, Mikonos, KG2 and the Proteus. Just based on conversations you're having now for these rigs, would it be prudent at this point to assume maybe 1 quarter of idle time after coming off contract? How should we think about the follow-on opportunity for these rigs and the timing around when that next contract is likely to commence?
R. Vayda: Yes, I'll take that one. So we are in discussions on all those rigs in various different manners at the moment. So we don't want to tip our hat to that. But yes, we think -- certainly, there's not going to be idle time in all of those rigs. There's possibility that there could be on 1 or 2. But as I said before, a lot of these programs, especially around finishing up wells going a little bit longer, but we do have active prospects on every one of them. So that's pretty promising. And I think something that is obviously not readily apparent to everybody in the industry, except for those that are actually bidding for the work is the number of conversations for work is kind of -- it hasn't been this active and busy for our marketing team for a couple of years. So yes, we're pretty confident we'll be putting on some backlog on a number of those rigs.
Keelan Adamson: Yes. Maybe a little bit more color from my side, Eddie. You mentioned a few rig names. Rigs have reputations and the rigs that we have rolling have very strong reputation. So the Skyros, for example, Transocean and Total's multiple year winner of Rig of the Year. I mean the rig has performed outstanding on that Total contract for 10 years, even performed 10 years without an LTI in its safety performance. The reputation of that rig is outstanding and there are several inbounds that we get concerning its availability. If you think about the Proteus you mentioned in the Gulf of America, the Proteus is one of the highest spec units in the world, has performed outstanding as well for its Shell campaign. So we have a variety of rigs that are rolling. Some are more sixth gen nature and some are much more higher spec. So what you'll see from us is certainly looking to build utilization on our lower spec units. And when it comes to the higher spec units like Proteus, that's an opportunity for us to remain disciplined. I think we've demonstrated that in the past as the market ran up before this particular mid-cycle lull. And I would say we will be very disciplined in how we approach the Proteus and the sort of work and the term that we put on her, obviously, we want to keep her busy. But if we don't like particularly the economics that are associated at that time, we'll take shorter stint work. And then, of course, that provides opportunity for small amounts of white space. But that is the consequence of a commercially strategic bidding discipline that we employ, especially with our harsh environment -- with our high-spec units.
Operator: We'll take our next question from Doug Becker with Capital One.
Doug Becker: Some industry reports suggest Petrobras recently had one-on-one meetings with drilling contractors just to discuss ways to reduce costs. Just wanted to get confirmation, did Transocean have such a meeting? And if so what was the outcome?
Keelan Adamson: I'll offer some commentary, and I'm sure Roddie will add his -- some color as well. Yes, we've been engaged with Petrobras on this topic for a while. I would reiterate our belief that we do not believe that this cost reduction exercise on Petrobras' part is going to materially change the activity that they have in country. We have a lot of experience across our operations of driving cost efficiencies into the operation on behalf of our customers. And with respect to Petrobras, we are engaged with the lessons we've learned across our fleet and with various different customers on how to reduce that cost structure. And typically, it's built around things like the number of people on board the rig and simple things like that. So Petrobras are keen to engage with the drillers on this matter. There are efficiencies to be gained and it's very encouraging to see Petrobras open to having these discussions, looking for more efficiencies and allowing drilling contractors to bring their experience to bear in this environment. So Roddie, do you want to add anything?
Roddie Mackenzie: Yes. I'd just add, that's exactly the point. This is actually a welcome effort. So yes, to recap on that, basically, they're looking to take about 7% or 8% out of their cost basis. And they're doing that in a manner, as Keelan said, there are certain things in the Petrobras contracts that have expense to the contractors that are perhaps nice to have, maybe not essential to the contract. So if we're able to take some of those out and pass on those savings to Petrobras, that makes their wells more competitive, that stimulates more work. So we think that's a positive effort. And of course, we're very interested in that. And I think it's off the back of news like Ibama give the approval for the drilling exploration campaign in Foz do Amazonas, which is the North Coast of Brazil. So that's very encouraging for future activity. But yes, I think their statement is they very much are looking to keep all the rigs they have on contract and just seeing where they can be more cost-effective on certain demands that they have. And of course, we're all over that. I think that's quite positive.
Doug Becker: Is it fair to say that discussions were much more about those cost reduction efforts outside of rate? Or is there a desire for some type of concession on price or blend and extend?
Roddie Mackenzie: Yes. I mean, obviously, we can't talk about specific negotiations that we have with them. But the first focus is on the existing contracted rigs and what they can do to reduce the cost basis. If there is opportunity to add term to some of those, then that's an avenue that I'm sure many will be happy to explore.
Doug Becker: That makes sense. And then, Thad, maybe one for you. A lot of steps to reduce debt during the third quarter. What would you highlight as the next few steps going forward and maybe in particular, just the potential for another equity raise down the road?
R. Vayda: The short answer is, as Keelan had indicated, we anticipate that we're going to meet all of our obligations out of cash flow from operations. A couple of things I'd like to say on the equity raise. Clearly, it is never an easy decision for management to go to the market. And frankly, there's probably never a particularly good price at which one should issue equity. That said, I think that the company has had a pretty good track record of treating shareholders as well as it can, particularly with respect to those things that are within our control. We didn't restructure, but with that comes this survivor's curse. When you look at the things that are encumbrances to our share price, it's 2. It's, frankly, the market and the pace and day rates of contracts. And second, depending upon the day of the week, it's the leverage. It's sort of the survivor's curse. So we took this exercise to heart. We did a lot of analysis and we did our best to ensure that this is something that we really wouldn't have to do in the future. So our expectation now is with our liquidity profile, our debt maturity schedule, the market conditions that we'll be able to meet our obligations at cash flow. You should expect to see us deploy any excess cash generated by the cash flow savings that we've talked about, the $250-so million that we anticipate in aggregate achieving in 2026 to reduce our debt balance.
Operator: And we'll take our last question today from Noel Parks with Tuohy Brothers.
Noel Parks: I was wondering, you were talking about there -- just from discussions that you could see exploratory drilling maybe picking up in that 2027, 2028 time frame. I just wonder if you sort of think about lead time and customers' internal capital discussions, do you have any sense as to when they might -- how far in advance they might start looking at trying to commit to rigs on some of those?
Keelan Adamson: Yes. No, it's a good question. As you know, a lot of the activity that we perform on contracted rigs is largely focused on development, but our customers also squeeze in exploration wells that they have approved in their budgets into the program should the time lines align. I think the difference that we're seeing now is a real conversation in the world about the need to increase the supply of hydrocarbons. And if I cite the IEA report that was recently published, they speak about over $500 billion of the upstream investment, 90% of that is used every year to just simply replace the reserves that are being produced, right? And that's not taking into account any of the growth that is anticipated for the world. So as our customers are noticing that the decline rates in their conventional and also in their nonconventional, which is an accelerated decline rate, there isn't more conversation now about how do we produce that supply that's going to be required. So as we think about the commodity prices, the macro environment, I think our customers are going to continue to find opportunities in their programs of contracted rigs in '26 to put a few exploration wells in. But the conversations are now changing to a major customer talking about building an entire rig line around exploration in '27 and '28. And there's more and more of those major customers starting to talk about that. And that's what's giving us an awful lot of encouragement with respect to what we think that will transfer to in rig activity in the out years from '27 on. And that's kind of the subtle difference that we're hearing in the conversations I'm having certainly with our customers. Roddie, do you have anything to add on that?
Roddie Mackenzie: No, I think that nails it, exactly that it's been a while since we've had this exploration discussion and I think the broader macro commentary really helps that. And of course, we are seeing that directly with the discussions that we're having with some of our customers.
Operator: And there are no further questions at this time. I'll turn the program back to Alison Johnson for any additional or closing remarks.
Alison Johnson: Thank you, David, and thank you, everyone, for your participation on today's call. We look forward to speaking with you again when we report our fourth quarter 2025 results. Have a good day.
Operator: This does conclude the Transocean earnings call. Thank you for your participation and you may now disconnect.